Operator: Good afternoon, ladies and gentlemen. Welcome to the 2021 First Quarter Conference Call. Instructions for submitting questions will be provided to you later in the call. I would now like to turn the call over to Mr. Rob Wildeboer. Please go ahead, sir.
Rob Wildeboer: Good afternoon, evening everyone. Thank you for joining us today. We always look forward to talking with our shareholders and we hope to inform you well and answer questions. We also note that we have many other stakeholders, including many employees on the call and our remarks are addressed to them as well, as we disseminate our results and commentary through our network. With me are Pat D'Eramo, Martinrea CEO and President; and our CFO, Fred Di Tosto. Today we will be discussing Martinrea's results for the quarter ended March 31, 2021. I will make some opening remarks and also address our capital allocation framework. Each quarter, we are going to go in-depth on a topic or two. Last year, we go a little deeper on technology. Last call, it was electrification. This quarter will be capital allocation, VoltaXplore, and the Company's growth over the next few years. After me, Pat will make operational and strategic comments to give you his perspective on our VoltaXplore initiative, working with our friends at NanoXplore. Fred will review the financial results and outline our guidance, and then we will open the call for questions and we will endeavor to answer them. Our press release with key financial information discussed on a fairly detailed basis has been released. Our MD&A, AIF, and full financials have been or are being filed on SEDAR. These reports provide a detailed overview of our company, our operations and strategy and our industry and the risks we face. We are very open to discussing in our remarks and we open the Q&A, some highlights of the quarter, the state of the industry today, how we are addressing the challenges and progress in our operations. As always, we want you to see, how we see the world. Frankly, we want to be a trusted source of commentary for you and we believe we are. In our last call, for example, we said the semiconductor chip issue was a major supply concern and were hurt numbers in the first half of the year, getting better in the second half and beyond. A number of other said it was a blip while it's not a blip, it's more than a blip, it's more like a blimp. At the same time, we are very positive about the macro environment for our industry and for us over the next several years and we think we'll be right. As for our usual disclaimer, I refer you to the disclaimers in our press release and filed documents. As you know, I'd like to talk about culture. This evening, I won't do that, but out of habit and because it is so important, I put up a slide. Our culture is a feature of every investor presentation. It is core to what we do and will drive continuing and future sustainability and success. We had a solid quarter as advertised. We made progress in many areas. We make decent money not as much as we're going to make in the future. And we invested in our business because it makes sense to grow our company and increased revenues, profit and cash flow over time. So with that in mind, I'm going to spend a little time on capital allocation and capital spending. After our last call, we heard some concern about CapEx. Well, let's talk about it. I should note that we have prepared an Investor newsletter on our approach to capital allocation, which will be posted on our website. Neil Forster, who has been both an auto analyst and investor with Franklin Templeton has set out our thinking very nicely for you. In any business, how the company allocates its capital is among the most important decisions management has to make. Capital allocation is equally as important as operational decision making and execution, and we have to be effective at both to ensure our organization prospers or even survives over the long run. Profitable businesses with strong operating track records, can be derailed by four capital allocation strategy. Therefore, it's critical that we get this part of the corporate strategy right. At Martinrea, we spend a lot of time thinking about capital allocation. Our overarching priority is quite simple to generate long-term positive returns for our shareholders. Generating returns is part of our mission. In that sense, we are no different than an investment manager running a mutual funds, pension plan or endowment fund or an individual investor managing his or her own portfolio. I'm an investor myself, I've been doing it probably longer than most of the people on this call, given my age, purchasing shares in whole companies and to tell you the truth, I'd be happy to compare notes and track records, but that's another story. In sum, we here invest where the return potential makes the most sense. We are committed to the long-term sustainability of our company in line with our vision, mission and principles. We are all owners increasing our holdings of shares and equity based investments over each of the prior five years with minimum shareholding requirements and a robust equity share ownership program. In 2020 and, in 2021 to date, we have met the challenge of the pandemic head on. And today we are a stronger company as we have ever been because we are owners and behave like owners. Taking a closer look, our capital allocation framework is as shown on this chart. While maintaining a strong balance sheet, we seek to invest in growth and maintenance opportunities that have the potential to generate strong returns for our shareholders. This can take the form of organic capital investments and research and development initiatives, as well as acquisitions that make strategic and financial sense. These priorities are driven by disciplined internal rate of return or IRR, return on invested capital or ROIC framework that is we choose the options that have the highest expected returns over the long term. In a nutshell, Martinrea's industry-leading returns on invested capital demonstrates that we are investing well. In late 2014, Pat joined us as President and CEO and we embarked on our lean transformation in Germany journey, a period we refer to as Martinrea 2.0. Over the next five years, adjusted operating income margin nearly doubled to 7.5% in 2019 over 8% excluding the impact of the 2019 GM strike you may recall, putting us up among the top in our peer group. We achieved this through a combination of plant-level operating improvements and our lean manufacturing practices and a more disciplined go-to-market approach, adhering to a strict IRR hurdle rate in quoting new business which has generated ROICs they are among the best in our peer group, demonstrating our effectiveness when it comes to capital allocation as this chart shows. So, let's talk about free cash flow playing the long game. Free cash flow is an important metric in assessing the merits of any investment. There is a key element for many investors for many of you and ultimately a key driver of valuation. The value of an investment is equal to the present value of its future cash flows discounted at the appropriate cost of capital. Importantly, the cash generating potential of the business must be looked at through a long-term lens. The company may have options to invest capital in high return organic growth opportunities that will provide a steady stream of free cash flow in future years. However, those investments reduce free cash flow initially, working capital flows can also be unpredictable over short time periods skewing the true cash flow picture. When allocating capital, it is incumbent on us to play the long game and not be distracted by near term ebbs and flows. Ultimately, companies that generate strong ROIC tend to generate strong free cash flow over time. We have a strong ROIC. Our Martinrea 2.0 journey has also included substantial capital investment, mostly related to investments in our steel metal forming operations to make our production lines more flexible as well as long-term capacity investments to support growth in our aluminum casting business. Notwithstanding, we hit an inflection point in 2019 where we generated over $100 million in free cash flow. Although the COVID-19 pandemic has impacted our continued progress in this area, we still managed to generate over $60 million in free cash flow and the COVID disrupted 2020, quite an accomplishment. This year, we are expecting CapEx to increase from 2020 levels, leading to an expected breakeven free cash flow profile in 2021, driven by new business wins, capital required for a number of customer driven engineering changes, additional capacity to be put in place due to stronger-than-expected volumes, and some spending moving into 2021 from 2020. Fred will talk further on future cash flow. So I'll leave this topic at that. What about acquisitions, our acquisition strategy is disciplined and has served us well over time. Historically, our acquisition strategy has revolved around acquiring businesses that broaden our product offering, technology, footprint or our customer base. They helped us grow rapidly from a startup to a company with $4 billion in revenues, a true growth story. Primarily, these were distressed assets requiring investment and resources to turn around. We were able to acquire these companies cheaply and restructure the operations, thereby putting them on a more sustainable path. We have proven our effectiveness at turning around struggling businesses. We are prudent and disciplined buyers, and it's a big part of how we built our organization. Our acquisition strategy has evolved over the years. Though valuation remains a key component, great companies can end up being bad acquisitions if you pay too much. So we are selective and prudent in our approach. Basically, we look for companies that can help us achieve some combination of advancing our lightweighting strategy, enhancing our product and technical capabilities and diversifying our customer base and we look to acquire these companies at reasonable to attractive valuations. While I won't get into it further here, our investments in Metalsa's assets and NanoXplore are proving to be great investments to maintain and grow our business. A strong balance sheet is paramount as it gives us the confidence and ability to withstand downturns, if and when they arise like during the Great Recession of 2008 and 2009 and more recently the COVID-19 shutdowns of 2020. Our customers also prefer to deal with suppliers or financially sound that they know will be around to serve them in the long run. So a strong balance sheet is fundamental to maintaining and growing our business. We believe our targeted net debt to adjusted EBITDA ratio of approximately 1.5 times is appropriate for our business as it represents a level that allows us to manage downside risk, while maintaining the flexibility to invest for growth. The COVID-19 pandemic highlighted the importance of our strong balance sheet and strong lending relationships. It also showcased our ability to manage through a crisis and a period full of uncertainty. Our strong financial position leading into the COVID-19 downturn as well as actions we took in the form of cost reductions from temporary layoffs, salary reductions and CapEx reductions as well as liquidity actions to increase credit availability allowed us to navigate through the crisis in a position of strength. The final component of our capital allocation strategy is returning capital to shareholders in the form of share repurchases and dividend growth over time. While our dividend rate is higher than many in our industry, we pay approximately $16 million in dividends annually representing a modest cash outlay given the scope of our business. While we seek to reward our investors with a steady stream of dividend income, our view is the share buybacks represent a more compelling opportunity as we believe our stock is undervalued. As such, return of capital is more likely to be focused on buybacks at this juncture as they offer better return potential. We've been active with our share repurchase program in the past. Between 2018 through 2020, we repurchased 8% of the company's outstanding shares for CAD83 million or so. When the pandemic hit in 2020, we suspended our formal normal course issuer bid, a prudent move to preserve cash. However, we did maintain our dividend in full. It's now May 2021, we're still in the midst of the third wave of the pandemic. There are still many closures or lockdowns including a borders in the industry is facing many supply shortages, particularly related to the semiconductor chips. We are seeing many customer shutdowns and an uncertain outlook for the next several months. While we continue to invest in our business, maintain our dividend and keep our balance sheet, strong, we are not recommencing our share repurchases this spring, but do anticipate filing for a normal course issuer bid by the fall of 2021. Philosophically, we like buybacks, as we think our shares are attractively valued and represent a great investment opportunity, but we're going to be prudent with our cash in the midst of pandemic uncertainty and chip and other supplier issues while still investing in the future of our company. In conclusion, we believe our capital allocation strategy provides the right mix between investing in the future of our company or putting it in a strong financial position through prudent balance sheet management. It also seeks to reward our shareholders for their continued support in the form of returning capital to them through dividends and share buybacks. In summary, our capital allocation framework is core to our overall corporate strategy, and should enable us to drive meaningful and substantial growth in revenues, earnings and free cash flow in the medium and long-term. Now here's Pat.
Pat D'Eramo: Thanks, Rob. Hello, everyone. As noted in our press release, our Q1 adjusted net earnings per share came in at $0.41. Within our guidance range that we discussed on our Q4 call of $0.36 to $0.44. Our adjusted operating income margin for Q1 came in at 4.9%, the inclusive of our acquired Martinrea-Metalsa group down from 5.8% in Q1 of last year. Production sales came in at CAD924 million also inclusive of our Metalsa group at the low end of the range of CAD900 to CAD1 billion. First quarter results were impacted by some short-term headwinds, including the industry wide shortage of semiconductor chips and the previously discussed lag and pass-through of higher aluminum costs, which by itself impacted adjusted EPS by approximately $0.08. Excluding the lag, our EPS would be in the $0.48 to $0.49 range well ahead of our prior year results. We are managing through a substantial amount of new business launch activity including large programs such as the Nissan Pathfinder in road, the new Jeep Grand Cherokee, the Grand Waggoner, the Ford Mustang Mach-E, the Mercedes C-Class and the Class-A Daimler transmission to name a few. Last, the emerging third wave of COVID-19 cases is presenting additional short-term challenges in some locations. Regardless, our launches are coming along as planned and our performance has been strong in this environment. More importantly, the longer-term picture is very solid. US auto demand has been trending near record levels in recent months. And the 18 million to 18.5 million [ph] SAAR range and inventories are the lowest I've seen in my memory. We believe this sets the stage for a prolonged period of strong production growth, when supply chain pressures ease. We're very confident in our future as our strong guidance implies which Fred will review in more detail momentarily. Turning to our operations, we experienced short-term disruptions and customer releases continue to fluctuate due to the shortage of semiconductors and other supply constraints. These disruptions will continue to impact the industry results in Q2. These temporary shortages impact key products like Equinox, Escape, and even some larger trucks and SUVs. Visibility is somewhat limited as oftentimes we receive only short notice of production shut downs from our customers. Currently, industry observers such as IHS expect supply chain pressures to ease in the latter part of the year. Lost volumes are likely to recover next year. The good news continues to be the market, which will remain strong as demand is high and inventories are low. This will support production growth when supply challenges abate as I alluded to earlier. On the last few calls, we mentioned the lockdowns and related public health restrictions due to the pandemic have delayed our integration and restructuring efforts at our Martinrea-Metalsa operation in Bergneustadt, Germany. I'm now happy to report that these activities continue to ramp up and we are making good progress, getting the business up to our operating and financial standards. We have managed to get a good number of resources from North America and the Germany some on long-term assignments to support the integration. Order in quoting activity continues to be at a high level, with $130 million in new business awarded since our last call. This includes approximately $90 million in lightweight structures with various customers, including General Motors, Toyota and Tesla CAD35 million in our propulsion systems with General Motors, Stellantis and GAC, and we have been awarded our first contract with JLG and our Flexible Manufacturing Group. The pace of new business awards and our schedule of launch activity gives us tremendous confidence in our outlook over the next few years once the industry gets passed the near-term supply issues. I would be remiss if I didn't discuss VoltaXplore, our new EV battery joint venture with NanoXplore. VoltaXplore will initially build a 1-megawatt hour demonstration facility in Montreal, Canada with the purpose of proving our new technology with graphene enhanced lithium-ion batteries. We expect the demonstration facility will be operational by early next year. Once we're satisfied with the results, the JV intends to build and commission a 10-gigawatt hour manufacturing facility, Martinrea and NanoXplore will initially contribute $4 million each, and startup capital, and up to another CAD6 million each. As a development funding is required. We expect to go-no-go decision to be made later next year. I'm the Chairman of VoltaXplore and Soroush Nazarpour, Founder and CEO of NanoXplore is the joint ventures CEO. We are excited about VoltaXplore and its prospects as we believe Graphene enhanced batteries can provide some significant advantages over competing products in the marketplace. Simply put, Graphene has the ability to enhance charging time and driving range. Specifically the high conductivity of Graphene allows the battery to be charged faster while energy density is improved to the use of Graphene and silicon anodes. Silicon has been proven to be about 10 times more efficient than graphite anodes. The current challenge with silicon anodes is they have a limited life, as a silicon expands and eventually fractures when charged. Graphene can be used to coat the Silicon's spheres will reduce the swelling and prevent fracturing thereby improving energy density and extending battery life and driving range. Graphene enhanced batteries are also potentially safer as Graphene high thermal conductivity provides greater temperature control, which reduces the risk of fires. This makes our Graphene battery technology unique. VoltaXplore also has the potential to fill missing piece of the Canadian EV supply chain the domestic production of EV batteries. This is noteworthy given the government's EV ambitions and recent OEM announcements regarding the production of electric vehicles in Canada. There are currently a number of concerns of EV batteries on the market today, fire risk, charging time and its impact on capacity, driving range and battery life. Our work to date shows a Graphene enhanced battery will improve all of these current challenges, some significantly. On the last call, we spent a lot of time talking about what the industry transition to electric vehicles would look like for our business. As a reminder, we project our opportunity on pure electric vehicles as measured by the addressable content per vehicle is greater on an EV versus a nice platform, due to more complex higher value-added components compared to their ICE counterparts. Just as important is the fact that our current installed capacity is flexible and will be employed on new EV products such as battery housings, with no material change. So whether it's an agnostic product or an EV specific product, this transition can benefit the business without negatively impacting our return on invested capital. Taking a closer look, roughly 80% of our current products are completely agnostic to the propulsion system be it ICE, hybrid or pure EV. Fundamentally these products did not change. Vehicles need body structures, suspensions and brake lines regardless of how they are propelled. For the remaining 20% and assuming the world goes 100% electric, propulsion products such as engine blocks and fuel lines would disappear, but would be replaced with other products, specific to EV platforms such as battery trays, electric motor housings as well as thermal management systems. We have won some of these products and we are already in production with battery trays on that note, I'd like to thank the entire Martinrea team for their continued dedication and commitment in the face of industry supply shortages and other near-term challenges. With that, I'll pass it to Fred.
Fred Di Tosto: Thanks, Pat and good evening, everyone. As Pat discussed, we face some headwinds in Q1 from some temporary factors, including delayed pricing pass through, higher aluminum costs as well as a global semiconductor shortage, which impacted volumes with some key customers. We continue to work through the many challenges the pandemic has put in front of us and the industry. Our team has performed admirably given the circumstances. While the semiconductor shortage will continue to weigh on results in the near term, we are confident in the longer-term outlook for our business, given strong customer demand for vehicles, low vehicle inventories and our solid backlog of book business. Given our confidence, we are rolling out longer term guidance which I will discuss later in the call. Taking a closer look at the Q1 results, total sales were up approximately 14% year-over-year or approximately 5% excluding $78 million of sales growth contribution from a Martinrea-Metalsa Group. Production sales were up 12% or tooling sales were up 45%. Sales benefited from new business launches during the quarter as well as higher volumes of certain programs. As mentioned, demand for vehicles has been robust and vehicle inventories remain low in North America, particularly on truck, SUV and CUV platforms where we have the majority of our platform exposure. This bodes well for future production. However, sales for the quarter were tempered by the global semiconductor shortage which will continue to negatively impact results at least through the second quarter. Q1 adjusted operating income was CAD48.5 million, a pretty good result in the circumstances and roughly the same as last year. This represented a 4.9% margin lower than the 5.8% margin we generated in the year ago quarter, which was largely pre-pandemic. As expected, and as we told you on the last call, we experienced a temporary lag and offsetting higher aluminum raw material costs through contractual price increases, which impacted operating margin by about 85 basis points. We expect this impact to mostly reverse in the second quarter as pricing and customer contracts adjust to reflect the higher aluminum costs. Shed aluminum prices normalize to a lower level at some point in the future would actually benefit from a margin tailwind albeit a temporary one. The reverse holds true, if prices were to increase. Margins were impacted in Q1 and will be in Q2 by heavy launch cycle, which of course is very good news for future sales margins and profits. We also saw higher tooling sales, which typically earn a low margins. COVID related government subsidies totaling $5.4 million benefited margins during the quarter. Our sales mix hurts our margins somewhat in the context of the customer shutdowns, because of the chip shortages. When Ford suspense production of the Escape, which it has for seven weeks to date, this largest shuts down our Kentucky plant, one of our largest operating facilities. When GM shuts down production of the Equinox which has happened, we have five plants supporting that program. When a plant is largely shut down, that hurts margins, which will rebound very positively and quickly when customer production resumes. In North America, we achieved an operating margin 6.3% down from 7.3% in the first quarter of 2020 due to the impact just discussed. Our European operations were essentially high breakeven in the quarter reflecting the temporary lag in aluminum pricing pass through and current lower margin profile of our new Martinrea-Metalsa German facility. As Pat mentioned earlier, we are making progress in the restructuring and integration of our newly acquired operations in Germany and are trending towards breakeven in our Martinrea-Metalsa Group overall. We continue to feel very good about the acquisition and its prospects for the future. Our Rest of the World segment continues to generate strong results with 10.2% operating margin in the quarter, a level indicative of the long-term potential of the business. Moving on to earnings, adjusted net earnings per share was $0.41 in Q1, an increase from the $0.38 we delivered in the year ago quarter. In addition to the sales and margin impacts discussed previously, EPS benefited from a force and net foreign exchange gain. Of note, adjusted earnings per share excludes a gain on dilution of our investment in NanoXplore in the amount of CAD7.8 million or CAD0.08 per share after tax. To explain how this works, NanoXplore recently completed an equity offering of 11.5 million shares for CAD46 million. In a separate transaction, we acquired 1 million shares at CAD4 per share. Net-net our ownership interest decreased from 23.3% to 22.2%. IFRS requires a dilution in equity interest to be treated as a deemed this position, resulting in a significant gain during the quarter, demonstrating how well we are done with the investment in Nano. As you all know, we are very excited about NanoXplore and its prospects for the future. Free cash flow as defined in our MD&A for Q1 2021 was negative CAD38.7 million inclusive of a CAD35.3 million increase in working capital and CAD90.8 million in cash CapEx. The increase in working capital is largely production related. Seasonally, production related working capital typically increases during the first quarter of any given year, as the industry comes out of the December holiday shutdowns. Capital additions were in support of new business wins, customer driven engineering changes, capacity investments in support of higher-than-expected volumes and some of the real spending from '20 into '21. When evaluating our capital program, it is important to note that the majority of our capital is program related. We only deploy capital when we win the business and our capital investments are subject to strict hurdle rates. As Rob mentioned, our return on invested capital is among the best in our peer group, which demonstrates that we are investing well, and generating good value for our shareholders. Turning to our balance sheet, net debt increased slightly compared to Q4 levels. On the face of the financials, net debt to adjusted EBITDA was 2.24 times at the end of the quarter, but approximately 1.6 times with bank covenant purposes, reflecting our amended credit agreement, allowing us to exclude Q2 2020 EBITDA from the calculation. Overall, our balance sheet is strong and our leverage ratio remains within our comfort range and well below our bank covenant maximum of three times. Subsequent to the quarter, we amended our credit agreement with our lending syndicate providing us with additional credit availability at pre-COVID pricing and extending our maturities out to 2025. We have an excellent relationship with our lenders and we sincerely thank them for their ongoing support. Turning to guidance, our business continues to face some short-term challenges from the industry wide semiconductor shortage, a heavy launch cycle and lingering disruptions due to the COVID-19 pandemic. While the ultimate impact of semiconductor shortage will have on our operations is difficult if not impossible to predict and visibility is low, our current expectation is that the impact in Q2 will be fairly similar to what we experienced in Q1. We still expect production to recover in the back half of the year. The lost funds are unlikely to be fully recovered until 2022. Given these current headwinds, we expect second quarter production sales to be in the range of CAD850 million to CAD950 million and adjusted net earnings per share to be in the range of CAD0.36 to CAD0.46. In the circumstance of decent money, we're not close to where we expect to be once we get through the supply issues. On a full year basis, we continue to expect 2021 adjusted EPS to approach 2019 levels and free cash flow to be approximately breakeven. These targets are dependent on a recovery in production volumes from an improving supply of semiconductors in the back half of this year. Despite some near-term challenges that we have described at length, we are very optimistic on the long-term prospects and outlook for our business. As discussed, demand for vehicles as robust, driven by a strong macroeconomic outlook, especially in North America, low interest rates and for many and increase in savings and wealth accumulated during the pandemic. Vehicle inventories remain low and are likely to remain low for some time. Given pent-up demand, we believe this sets the stage for a multi-year period of strong production growth once supply side pressures ease. Given our high conviction in the long-term outlook for our business, we are rolling out our 2023 outlook, which calls for total sales, including tooling sales of CAD4.6 billion to CAD4.8 billion and adjusted operating income margin exceeding 8% and free cash flow in excess of CAD200 million. Of note, approximately 90% of expected 2023 sales reflects business that is already booked. While these sales are dependent on volumes, we believe our volume projections which are based on IHS assumptions are realistic if not somewhat conservative. Also worth mentioning is that our 2023 sales targets imply substantial market outgrowth for the next few years. The investments we are making in our business today in the form of organic capital expenditures will allow us to grow at a faster pace than the industry we operate in. As Rob mentioned, we generate high returns on our invested capital and companies that generate high returns then that generates strong free cash flow over time. When we rolled out our Martinrea 2.0 strategy back in 2015, we said that we would double margins over a five-year period and that is exactly what we did to a level among the best in our industry. Simply put, we did what we said we would do, and we are very confident, we will do so again in delivering on our 2023 outlook. And with that, we conclude our formal remarks. Thank you for your attention this evening. Now it's time for questions. We see we have shareholders, analysts and competitors on the phone. So we may have to be a little careful here, but we will answer what we can. Thank you for calling.
Operator: Thank you. [Operator Instructions] Our first question is from Krista Friesen with CIBC. Please go ahead.
Krista Friesen: Hi. Thanks for taking my call. I was just wondering if you could provide a little bit more color around the Metalsa integration in Germany? So I think you mentioned that you expect to be moving towards breakeven by the end of the year. So, is that you think fourth quarter will be breakeven for Metalsa?
Rob Wildeboer: So we touched upon this on the last call and if anything we've solidified that outlook with the progress of the last few months. So we're quite happy with what we've been able to achieve over the last 2, 3 months. Sequentially quarter-over-quarter, the group improved. So, in Q1, we were approaching breakeven and we expect similar improvement in Q2 and then in the back half of the year the expectation is that depending on volume and so forth that we will turn positive on a run rate basis. And longer term, we still feel very good about the business and our expectations are still there. No change in longer-term outlook and it's going to get this through this next phase, but we feel pretty good about the progress we've been making over the last few months.
Pat D'Eramo: My answer to that question is yes.
Krista Friesen: Perfect. Thank you. And just on your guidance here, where you said Q2 2021 impacts from the semiconductor shortage showed similar to Q1. I was wondering what you might be seeing that some of your competitors aren't. Some of your Canadian and US peers have noted that they expect Q2 to be worse than Q1. I was just wondering if you have any suggestions as to what you might see that's different?
Rob Wildeboer: I think broadly speaking, there is a possibility, it could be somewhat worse. We -- it had a pretty big impact on us in Q1. I think others may be less of an impact and they're seeing more in Q2, so just the way we see the releases in the moment we're seeing it to be somewhat similar if not maybe just slightly worse. So, that's kind of the view at the moment.
Pat D'Eramo: Qualitatively if I might try. What happens when, and Fred mentioned the Escape and the Equinox, those are big programs for us. We have a lot of plants working into that and we've had a lot of shutdowns in Q1 from those programs and certainly with the Equinox, the shutdown, I think might pretty well go the whole quarter right in terms of Cami and Canadian portion. And so when that happens, you have, you still have all the costs of a plant for the most part. And you don't have revenues coming in. So [ph] is down and I think we experienced some of that in Q1. We think Q2 would be similar on that. So, in that sense, we may not see the deterioration that some may have had it and a lot of it depends on mix, as Fred said. And also with respect to the Escape, it hurt us seven weeks in Q1, that's a 1 million square foot facility -- that's a big facility that's about 10% of our manufacturing space or so overall, and it's just kind of the way it kind of way, it works out.
Krista Friesen: Great. That makes sense. I'll jump back in queue. Thank you.
Pat D'Eramo: Thank you.
Operator: Thank you. Our next question is from Michael Glen with Raymond James. Please go ahead.
Michael Glen: Hey, good evening. Thanks for taking the question. So maybe just to circle back on the chip question. What portions of your business actually use the chips? Are they integrated into much of what you guys are making?
Pat D'Eramo: No, we actually don't make any products that use chips directly but if another supplier -- but most of the chips go to suppliers, some may go directly to the OEMs, but they usually to the supply base. But if one supplier short on chips and then they don't build vehicles, and the OEMs are targeting the most profitable vehicles, which tend to be trucks and larger SUVs, based on the chips that they can get.
Michael Glen: And so with respect to the Equinox, which you talked about like do you see a uplift take place? Like do you see evidence that the any of the content you have on the pickup truck is intrusion or getting offsetting?
Pat D'Eramo: Some customers pickup trucks, have been running. Others have had some spotty issues. You can go into the, each of the OEMs and kind of get a feel for what that is. We do see the large trucks stabilizing a little bit more as we go in the second quarter, but the mid-size SUV, smaller SUVs or CUVs like Equinox, Escape, though they are popular, we believe that they will take a backseat to the trucks and so forth. And our line of sight is not very good and I don't think the OEMs line of sight is either. I mean, the way that they're having to manage it, they have to decide where the chips are going in. A lot of times we don't know they're going to shut down so a week before, other times, we get a better projection. So they're managing it the best they can, but it's a real struggle form right now.
Michael Glen: Okay. And just on the Canada, so during their conference call, GM talked about pulling forward the Oshawa plant -- the timeline for the Oshawa plant to Q4 with the Silverado and then they also talked about the bright drop EUV getting done in think yourself. So, are those platforms that you're that Martinrea has been able to get some content on?
Rob Wildeboer: We are, that's heavy content on the Silverado and associated programs, the new product -- new electric product for Cami were in the bid cycle, but it's an unknown at this point.
Pat D'Eramo: I will note [indiscernible] which is the pickup truck and large SUV is our largest platform in North America. So it's a big platform for us and we have a lot of content on those vehicles.
Michael Glen: [Indiscernible].
Pat D'Eramo: Go ahead. Sorry.
Michael Glen: But when it goes to full electric from legacy internal combustion, you don't see any change at all on the content you're providing?
Pat D'Eramo: In the case of in case of the Silverado, I think, first off, all electric Silverados there'll be some, but they'll continue to have a lot of ICE. But all of our product on the Silverado well not all of it, but all of our metallic product, which is the biggest portion of our content, is all body in white. So it's not dependent on the propulsion system at all.
Michael Glen: Okay. Thanks for taking the questions.
Pat D'Eramo: Okay, no problem have a good evening.
Operator: Thank you. [Operator Instructions] Our next question is from Peter Sklar with BMO Capital Markets. Please go ahead.
Peter Sklar: Okay, thank you. I missed something during as Pat, I think it was your commentary you talked about, I believe, an $0.08 drag. Is that your estimate of the lost earnings as a result of the chip shortage?
Pat D'Eramo: No, that is the lag in aluminum. So, as Fred said as well that lag, which should correct itself this quarter, cost in the short term about CAD0.08 a little bit more than that. So, had we not had the lag. Actually this quarter from an EPS point of view would have been stronger than last quarter, but again that's a contractual thing and it corrects itself over time.
Peter Sklar: Right. And why did the timing change from -- for the OEMs?
Pat D'Eramo: What do you mean on the lag.
Peter Sklar: Yes.
Pat D'Eramo: I don't know if that we've always had a lag in aluminum in either direction. It's just been a more extreme lag because of the price of aluminum jumped up quite a bit,
Peter Sklar: Right. Okay that makes sense. And then the last thing I wanted to ask you about Pat like, are you finding that Honsel is less affected by the chip shortage because you're selling into engine plants as opposed to vehicle assembly plants?
Pat D'Eramo: No. Well, it depends on the plant. So some Honsel plants are pretty full, the one of Mexico's pretty busy, because of the products that it's on for the most part, had been selling that there has been some stoppages short term. But in Europe, especially in some locations where we have other customers like JLR has a lot of downtime it affected us. So, I would say in China not so much, in Mexico not so much, but in Europe, we probably lost more production chips than anywhere else relative to aluminum.
Peter Sklar: Okay. And you don't do the engine block business in Europe right is just in Mexico?
Pat D'Eramo: We have engine blocks there as well -- we have engine blocks there along with a lot of suspension work is the same in Mexico, we have engine blocks transmission housings and a lot of suspension work as well.
Peter Sklar: Right, okay. Okay, thanks very much.
Rob Wildeboer: Thanks a lot.
Operator: Thank you. There are no further questions registered at this time, I would now like to turn the meeting back over to Mr. Wildeboer.
Rob Wildeboer: Thank you very much. Thanks to all of you for given up your heating, it was a busy day for the analysts for auto parts company obviously have. Have a great evening. If any of you have further questions or would like to discuss any issues, please call us at the contact information that you have on your press release. We're always available for you and have a great evening.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.